Mitchell Todd: Good afternoon, everybody, and welcome to Zurich Insurance Group's Full Year 2024 Results Q&A Call. On the call today is our Group CEO, Mario Greco; and Group CFO, Claudia Cordioli. Before I hand over to Mario for some introductory remarks, just a reminder for the Q&A, we kindly ask you to keep to a maximum of two questions, please. Mario, over to you.
Mario Greco: Thank you very much, Mitch, and good afternoon, everyone, and thank you for joining us today and for your continued interest in Zurich Insurance Group. Before Claudia and I will take your questions, I'd like to provide you with a brief overview of our financial year. This has been an excellent year for the group with the results -- are outpacing our original 2023-2025 financial plan. And in turn, this lays a strong foundation for our ambitious 2027 financial objectives, which we presented at our recent Investor Day. We approach this new financial cycle confidently, having now successfully navigated our last three plans. Now I'd like to draw your attention to three significant achievements in our 2024 results, a record group BOP of $7.8 billion, up 5% year-over-year, reflecting strong business momentum. We generated a core ROE of 24.6%, an increase of 1.6 percentage points from 2023, demonstrating our ability to allocate capital efficiently to high-return opportunities. And lastly, healthy cash remittances of $7.1 billion further reflects high cash conversion on NIAS earnings, up 34% in the year and ongoing dynamic capital management. This strong performance and positive outlook support our proposal to the Board and the AGM to increase the dividend 8% to CHF 28, the seventh increase over the last 8 years. Now turning briefly to the individual business segments, allow me to start with Life. Life BOP grew 9% like-for-like to a record $2.2 billion, driven by growth in protection and unit-linked. Life gross premiums and new business premiums grew 4% and 5%, respectively, on a like-for-like basis. Protection, which drives approximately 60% of our Life profits continued to grow strongly. Here, we experienced 7% like-for-like gross premium growth with strong contribution from EMEA, Asia Pacific and Latin America. To exploit further growth opportunities in this space, a global life protection unit was created as announced at our Investor Day last November. Now on Property & Casualty. First, let me make a comment on the California wildfires. Zurich is committed to supporting our impacted customers at this challenging moment. This latest event further evidences the value of the protections we provide. The financial impact of Zurich Insurance is estimated $200 million, including Farmers Re. You will have seen the separate comments from the Farmers Exchanges pointing to an estimated loss, which falls well within their reinsurance coverage. For both Zurich and Farmers, the wildfire losses are set against the backdrop of strong capitalization and profitability, well positioned for future growth. Now let me turn to the broader Property and Casualty business. We continue to grow the Property and Casualty business with gross written premiums up 5% on a like-for-like basis. In retail, rates increased 5% year-over-year, while the commercial book saw an overall rate change of 4%. Importantly, absolute profitability remains strong with a 94.2% combined ratio and BOP up 8% to $4.2 billion. In both commercial and retail, the accident year ex-cat combined ratio showed year-over-year improvements to 92% and 97%, respectively. Our disciplined reserving approach remains evident with positive prior year reserves development at 1.6 percentage points. Looking ahead, we observe ample opportunity to grow at attractive levels of return. In Retail P&C, where EMEA Motor rose 8% in 2024, for example, we anticipate continued rate strength. Similarly, in commercial, we expect a positive rate momentum to persist across our portfolio, compensating for factors such as ongoing loss trends. And let me close now with Farmers. In 2024, Farmers delivered a healthy BOP of $2.3 billion, in line with the record level reached last year. Fundamental improvement in Farmer's Exchanges continued at pace through the year. Management actions on rate, expense control and importantly, insurance exposures contributed to a full year combined ratio of 91.4%, materially lower than the 103.3% recorded in 2023. Additionally, the surplus ratio ended the year at 42.4%, enabling the exchanges to focus on measures to achieve sustainable growth going forward. And now looking into the future. We entered 2025 with a resilient balance sheet and with strong capitalization, the SST ratio closed the year 2024 at 252%. This solid financial position, combined with continued rate momentum in P&C, sustained growth initiatives in our Life business, and significant financial improvements of Farmers Exchanges puts us in a strong position to deliver attractive shareholder returns and durable growth during the next phase of our financial cycle. Over the next 3-year cycle to '27, we aim for compounded annual growth rate over 9% in core EPS from a base in 2024 of $40.10 per share, a core ROE above 23% cash remittances exceeding $19 billion cumulatively. With that, thank you for listening, and Claudia and I are now ready to take your questions.
Mitchell Todd: Thank you, Mario. We'll now take your questions. As usual, everybody, please keep to a maximum of two questions. Thank you, operator.
Operator: [Operator Instructions] Our first question comes from Andrew Sinclair with Bank of America.
Andrew Sinclair: Welcome, Mitchell. Good to have another Scottish contingent back up on the call again. First question just on Farmers top line growth. Can you give us just a time scale for return to PIF growth? I mean, how'd you actually bottomed out by the end of 2024, even if not -- even if it was still going down in H2? And just any color -- sticking on top line growth for Farmers, just any top line color for price increases after the L.A. wildfires. So that's my first question. Second question is, I'm kind of just struggling to see if Farmers is growing, Life underlying looks like it's growing kind of mid- to high single-digits percent. With all that, how am I going to get to 55% to 60% of BOP from P&C from, I think, 4% to 8% for 2024? Is consensus just drastically wrong for P&C? Or how do I square that circle from Farmers and Life growing so strongly? But also getting that share from P&C going higher?
Claudia Cordioli: Andy, Claudia here. So I'll take the first question on Farmers and on the growth. So as you might have seen in the slides, Farmers has gone down in terms of PIF by 8% in 2024. But if you were to allocate, say, the decrease in the first half versus the second half, you will see that it has decreased a lot. So the pace of loss of customers has decreased sensibly in the second half of the year down to December, where it was the lowest decrease of the full year. Now in January, we've been talking to the Farmers team the other day, they saw a further decline in the PIF loss. So they are still in a situation where they're losing policies. I mean, obviously, for the reasons we all know, right, it was intentional to prune the business where it wasn't profitable to get a more balanced business mix. Now they've gone through that, and they're ready to go back to growth. So it will take some time. We expect the PIF growth to start going up again in -- towards the second half of the year, not in the first half, but the team is absolutely focused on that, and they do everything necessary to go back to profitable growth. We see how the situation evolves post-wildfires, right? This is one of the situations where Farmers has been, I would say, really close to the customers, demonstrating the value. And post this tragic situation and the tragic events, there will be space, I'm sure, for them to grow. Not only in California, but also in other places. You've seen as well the news that they put out on wildfires the other day. So they are very well equipped, even post such an event in terms of surplus, for them to grow in California and in other states as well.
Mario Greco: Look, on your second question, Andrew, honestly, we believe that consensus is not right. It's not well placed on us. But we're giving you all the elements to rightsize consensus, especially look at now the target earnings per share. Now you know the basis is 40.1%. The compounded annual growth rate, it's very easy to calculate what the number of the earnings are. And then it's quite -- we gave an indication of where we think that commercial insurance will be in 2027. It's easy to -- from there, to be more precise on our landing. But we do see ourselves, that consensus, is not aligned with our plans and with what we expect to deliver.
Operator: Our next question comes from Andrew Baker with Goldman Sachs.
Andrew Baker: So the first, just on, I guess, the strength of your capital position, was there any consideration given to additional capital return to shareholders? And can you just remind me the constraints, outside of the SST, whether that's cash or rating agency capital, what else we should be thinking about there? And then secondly, just in terms of the North America rate outlook, it looked like it was moderating at the 9-month update was your sort of outlook comments. Today, stable. So just curious, are you able to give a little bit more detail on what's changed here? And then maybe sort of what you're seeing in terms of rate versus claims inflation in some of the major product lines?
Mario Greco: So I think I'll take the question on capital position and buybacks, and Claudia can take the second one. So look, just to be clear, first of all, there is no real constraint on SST. The 160 indication that we gave even in November and in the past years is pretty much indicating the AA S&P solvency level, or rating level, which is something that we want to keep in order to run the business the way we run it. So it's not a regulatory obligation and it doesn't even mean that if we go 1 point down, 160 S&P will downgrade us. But that's the way we think about it. We want to keep the rating and to keep the rating, we'll protect the capital at the floor of 160. Now, have we thought about distributing capital? Well, first of all, as always, I would like to distinguish capital from available liquidity, from available cash. The fact that we have such a high SST number, it doesn't mean that we are ready to further distribute. Now clearly, this year, we could have distributed more. I agree with you. It just didn't make any sense for us. We are in year 1 of a 3-year plan. We have excellent growth opportunities. We are enjoying in excess of 24% return on equity for the capital that we deploy to business. The first thing that we -- that it's our duty to do is to figure out if there are better opportunities to deploy the capital over the next months. progressing through this 3-year cycle, we will better understand if these opportunities exist. And if not, we will return the capital back, as we have done already in a number of occasions, not only one. And I think I said that already in November. Just to be clear, I set the expectation already in November that nobody should expect us today to present a further capital reimbursement to shareholder. It didn't make sense for us to consider it today. Does that make sense?
Andrew Baker : Yes, that's really clear. Thank you.
Mario Greco: Claudia, go.
Claudia Cordioli: Andrew, [indiscernible] -- sorry, did you have a follow-up question?
Andrew Baker: Yes.
Claudia Cordioli: I was going to answer on the America outlook. Okay. So in terms of the rates -- so overall, the pace of rate increases is moderating, although there are very significant differences, Andrew, between different segments and lines of business. So first of all, we continue to see the rates above loss cost trends, and that's the case in property, liability and motor. Differentiating by segments, and this goes back to one of the points that we made at Investor Day, right, on our preferred segments. We are seeing, for instance, property in the middle market segment still having very attractive rates at 5% in January renewal. So very promising and something we like, and we will continue to grow throughout the year, and that's specific in U.S. We see also very strong rates in Canada, for instance, and in EMEA as well. When it comes to large corporates, the rates are a bit more moderating, but still a satisfactory level in property. When it comes to the motor business, and this is obviously a line, as we said repeatedly in the past, had to see more rate growth. We are seeing rates of just shy of 20% in the U.S. in the January renewals. This, again, is needed to address loss trends. But even though we've been increasing our loss picks, we believe that this is ahead of loss trends. So we are happy about the renewal. We are happy about the actions that the team has taken in choosing the exposure. We've been pruning the book where we had to in the course of 2024 and now the book that we brought to renewal is doing so at a very strong rate. So overall, we are happy about what we're seeing. And in the preferred segment, we are absolutely well positioned. Back to the comment that Mario was making on the strong capitalization, we definitely see advantages in deploying the capital in the business growth with the conditions that we are seeing.
Operator: The next question comes from Michael Huttner at Berenberg.
Michael Huttner: On the -- amazing results, yes. So Life was one question and the other one is cash remittances. On the Life, you keep saying flat and you keep beating. So I just wondered if you can give a little bit more clarity on those. I'm glad you're smiling. So I'll leave the -- and then on cash remittances, amazing number. I know you kind of put it in the Capital Markets Day slide of $7 billion to $7.1 billion. But can you give us a feel for -- and you have $19 billion, it looks as if it drops a lot. But obviously, there was a one-off in here. And can you give us a feel for what is the kind of -- how you see the cash remittances, maybe just even the [indiscernible] here or the run rate or whatever?
Claudia Cordioli: Thank you, Michael. So on the first point on Life and what is a reasonable underlying guidance. I mean, believe it or not, your comment on Life being stable and then beating targets every year is the same comment that Mario and I are making to our business colleagues. So there's definitely potential in our Life business, particularly in the protection side. And this is why we've been, as you know, launching the protection line as a global business last year because we definitely see value in that and value in growing that franchise. So we wanted to be -- should I say, we wanted to have a sound underlying given some of the one-offs that we've seen this year. So $2.2 billion or flat for next year is not conservative projection, but we believe that there might be room for us to go ahead of that. We'll see how the protection unit that's launching will come back in the course of the year, but that's definitely one that we believe will bring additional value.
Mario Greco: And Michael, if I can add a comment, I completely understand that we are seen by investors as a property and casualty company. But our life business is excellent, and there is a lot of further potential there. And it's our job, of Claudia and myself, to make more visibility of the potential that exists in our Life portfolio. And that's also the reason why we started this Global Protection business unit, which I would say is very innovative in the market. Nobody has yet gone in that direction. So we don't like it either to say it's flat and then to beat that year after year. But I think also that there is a valuation there, which we want to better clarify and having better appreciation for it.
Claudia Cordioli: Michael, on cash remittances, I will go back to the guidance that we shared at the Investor Day. So our target to be above $19 billion over the 3-year period. Now this year had obviously the one-off from the Farmers New World Life transaction embedded in it. That's probably $1.7 billion. And there was roughly $0.5 billion, a bit more, of one-offs coming from EMEA, coming from some real estate transactions and some other small transactions, the Chile, the sale of the annuity book that also had a small impact -- positive impact on cash. So those were items that you might define as one-offs. However, part of it is obviously also very conscious and dynamic capital management and cash management. So we will, as we shared at Investor Day, continue with that capital management, very proactive capital management, and that will bring value across the next 3 years. So I refer back to the $19 billion, and you can drive from that run rate on a yearly basis.
Operator: Our next question comes from Andrew Crean with Autonomous.
Andrew Crean: Could I ask two questions? Firstly, could you talk a little bit about the central liquidity? Where it is and where you would like it to be to consider buybacks? Secondly, could you talk a little bit about retail recovery in '25? There's still the earn through some of the rate actions you've taken in a number of markets. Just, what, trying to get a sense as to how big an improvement in terms of the retail combined ratio that might deliver?
Claudia Cordioli: Okay. Yes. So Andrew, on central liquidity, we are in the range that Mario, I think, mentioned at the Investor Day. So we like to have a certain excess liquidity on a holding level so that we can manage not only unforeseen events, but also the usual headquarter and holding cash needs. So somewhere between $3 billion and $4 billion is where we would position it, and we are happy where we are right now. On the retail recovery.
Andrew Crean: You're in that range.
Claudia Cordioli: Yes.
Andrew Crean : Just to be clear, you're in that range now. Yes?
Mario Greco: Yes, we are.
Claudia Cordioli: Yes.
Andrew Crean : Thank you.
Claudia Cordioli: On the retail recovery, Andrew, so the journey continues in Switzerland and in Germany. The January renewals where we renewed about 50% of the book, 5-0 on the motor side on both markets. We are happy about the rates that we are getting, particularly in Germany, the whole market is moving. So that obviously helps as well, helps both on the retention side, but also it helps us to take the right actions in terms of rates. In Switzerland, also, the whole market started moving. So we expect the trend to continue. It will take some time for us to go back to the desired level. I mean we said we want to go back to our midterm combined ratio for retail between now and 2022 -- sorry, in 2027. If inflation continues to moderate, which is what we were seeing in Q4 and now at the beginning of the year, we believe that the rates we are seeing will be favorable to our book.
Operator: The next question comes from Kamran Hossain in J.P. Morgan.
Kamran Hossain: I got a couple of questions on middle market. The first one is, I guess, given the disclosure you've given around commercial and retail and P&C, just kind of where middle market's at for 2024 versus kind of those two numbers. And the second part of the question on middle market. Clearly, your growth strategy over the next couple of years relies on middle market producing growth. I just wanted to understand kind of if there was something going on in 2024. Because if I look at the disclosure on the top line, I think you're like 2.5% growth year-on-year in mid-market and it [indiscernible] looks flat. So just trying to understand if there's something going on kind of one-off in nature in 2024, or you're just getting the launch pad ready for growth to that kind of $10 billion plus number in the next couple of years?
Mario Greco: Give us a second, we're checking the numbers of mid-market and -- give us a second to scroll through the pages.
Claudia Cordioli: If you refer to Slide 10.
Kamran Hossain : The numbers I have -- yes, I had the 7.7% and 7.5% from the Investor Day last year.
Claudia Cordioli: Yes. So in terms of where we got in 2024, this is actually in line with the expectations we had, and it's in line with the growth path in the plan. What the market -- what the market functions and the business unit in the U.S. is doing is further investing in getting boots on the ground in the U.S. and being able to grow the business at a higher pace. So that's what is going to facilitate the growth to the $10 billion. Does that answer your question?
Kamran Hossain : Yes. I was just wondering -- I was just trying to square the kind of two things. It feels like that's the big area of growth for you, but it was a little bit slow. So yes, the investing and spending time with that does make sense to me.
Claudia Cordioli: Yes. And there's a few markets in EMEA as well. Just mentioning Germany, for instance, the U.K., Spain, where we are also making targeted investments to grow the business, grow the teams to make sure that we are getting there at a higher pace than so far. So we have specific business cases in a few European markets as well.
Operator: The next question comes from William Hawkins with KBW.
William Hawkins: Can I just come back to the answer you gave about liquidity, please? Could you help me understand the liquidity walk from the beginning of the year to the end of year? Because you just said you're in the $3 billion to $4 billion range. And my simple math is you've just remitted $7 billion and your dividend is about $4 billion. So the increase should have been about $3 billion, which either implies you were close to $0 before, which I just can't imagine was right or you should be above the $3 billion to $4 billion. So if you could just help me understand the walk of liquidity, please, that would be kind. And then secondly, can you give me an update on the crop business? What was the combined ratio and the BOP in 2024? It seems clearly it's been improving, but I'm just trying to get a feel for where you are against the 101% and $29 million loss last year.
Mario Greco: William, we had a number of M&A transactions and the number of investments in 2024 that you have to deduct from this and then you quite easily land into this kind of range of liquidity. I mean we can be more precise and give you all the elements, but it's not just dividends -- profits less dividends. And we also have transactions in last year, we had -- doing quite significant acquisitions in India and the AIG Travel Guard business. And with that, you pretty much arrive where we want to be and where we are today. Yes. Then on crop, combined ratio was above 100%. It was -- in 2024, a little bit in excess of 100%, 101.8%. And it was still reflecting the changes in the portfolio and the cancellation of businesses that we did during 2024. And this year, I think we will confidently go below that.
Claudia Cordioli: If you look ay y he current accident year, so the underlying combined ratio, it's below 100%, which is indicating the positive direction, William.
Operator: The next question comes from Fahad Changazi with Kepler Cheuvreux.
Mario Greco: We don't hear the question, [indiscernible]. Are you muted?
Operator: Mr. Changazi, your line is muted.
Mario Greco: We don't hear anything.
Operator: We continue with a question of Will Hardcastle with UBS.
Will Hardcastle: First question, just looking forward on Farmers now, is there any potential you can give us any broad range of potential increases that Farmers could be filing in the loss-affected regions? And what proportion of Farmers this relates to? I guess what I'm also trying to understand is, in your opinion, do you think that these price increases are likely isolated to L.A., to California or much wider than this? And the second one is just going to the risk review document. The SST sensitivity to U.S. hurricanes and to California earthquake have reduced significantly year-on-year. I guess just trying to get what's driven that? And is this -- should this be equally reflected in relative earnings volatility? Or is it more on the tails and therefore, SST changing?
Mario Greco: Well, on Farmers, I'm afraid we cannot give you any precise indication. It's way too early to do that. Sorry, but it's really not yet clear what's going to be the next filing for homeowners out of California.
Claudia Cordioli: On your second question on reinsurance, you're right. So we took a step in reinsurance to increase our protection in the tail in our global top-cat, and this is also reflected positively on the SST ratio.
Operator: The next question comes from Dominic [O’Mahony] with BNP Paribas.
Dominic O’Mahony: So a couple for me. I mean, one, just on Farmers. You've been very clear that Farmers is willing to invest some of that combined ratio and presumably some of that capital headroom into growth. I'm just really trying to work out the outlook for Farmers Re, which is another splendid year in terms of profitability. Clearly, in '25, you've got the wildfire impact and the reduction in the quota share portion. Would you be indicating that investing some more of that combined ratio is going to drag the Farmers Re profitability further down? Or actually is it going to be sort of similar? And my second question was just back on P&C and rate. You've given lots of commentary on this, and thank you. What did strike me is for the last 2 quarters, I think you've indicated that North America was moderating and now it's stable. Is that just a reflection of you thought you would get to this stage and now we're at the moderating -- we at the stable rate, we're at the stable stage. Why have you seen a change in conditions versus what you were expecting?
Mario Greco: Dom, what happened on the Farmers quota share, if I understood correctly your question, is that seeing the level of the surplus achieved at the exchanges quoted to reduce the quota share. And so we proportionally reduced our share of it. And all others have been equally, if I can say so, penalized. So it is not a choice we made. It was almost automatic given that the quota share was smaller. And this is, I would say, a healthy decision by the exchanges, which we fully supported.
Claudia Cordioli: And Dominic, on your question, are we going to see potentially worsening of our quota share results if the Farmers Exchanges invest a bit more capital in growing the business and therefore, the combined ratio is worsening. I think this is part of your question. Possibly in terms of profitability of the quota share. However, the fact that the business is going to grow brings us back fee income, right? So overall, I would not expect that to be negative to us. I would expect it to be very beneficial, in fact. So that's one point. On maybe North America, the rates moderating, I think what we are seeing compared to last year is a stronger -- even stronger increase in motor. So just to give a comparison, I was mentioning before that North America motor rates are going up just shy of 20% beginning of this year. Last year, it was, I think, a rough average of 15%. So it's growing more strongly. Now Property is moderating. But as I said before, we are trying really to make sure that we invest and deploy capital in the chosen segments. So overall, we are happy with the mix of rates that we are getting.
Operator: The next question comes from Vinit Malhotra at Mediobanca.
Vinit Malhotra: My first question, if I could ask on Slide 11, please. The fact that this retail segment has a positive exposure change and also a pretty large net new business. I know there's another element that especially when we compare to literally $0 or $19 million exposure change on Slide 10 for commercial. Could you just help me understand how -- what is -- how should we read that? Is it a sign that you're confident enough on retail now to start increasing the actual exposure? So, how do we read this? So just any commentary on that would be very useful. And then second question is a little bit on -- I think it's on Slide 17. There is a comment here that the Group functions had some higher number because of growth initiatives. Are these growth initiatives in some of the lines we've heard about at C&D? It's like you talked about middle market, specialty lines, all those things? Or is there something else that you have found recently that you would like to add to? And if I can just squeeze in a third quick follow-up on Farmers. The press release said that they could continue to offer home insurance as they have done quite uniquely. And I know you said it's too early to make a price change guesstimate, but is that a strategy you've been happy with and you're still happy with if you're -- I mean, as -- from where you sit?
Mario Greco: So Vinit, I start and then I pass it to Claudia. On the exposure changes, it's important also to consider that we reflect the different values and the impact of inflation also on the exposures. So a lot of it is automatic adjustment or indexation to inflation and values. And then it's new product sales, things that we haven't sold before and we have been doing a lot of that, especially in accident and health and in travel. And then for Farmers -- look, I mean, yes, we continue. I mean, if you saw the numbers that Farmers communicated, although this is a massive event and it is an incredible tragedy for the people there, the net impact for Farmers is manageable and the homeowner combined ratio of Farmers, it is still below 100% even after this. So they will take price actions whenever that -- the right moment will be. but they don't see, rightly so, reasons to discontinue anything.
Claudia Cordioli: Thank you, Mario. If I may add on Farmers, maybe a point about are we happy about the fact that they want to continue to be in California to support motors, to support the business. We are doing the underwriting on their behalf. So obviously, we are happy with that. I think, Vinit, it's important to remember that there has been a change in the regulatory approach to this end of last year that allows insurance companies in California, for instance, to do underwriting pricing on a technical basis and reflecting reinsurance costs in the pricing. Which we believe are necessary steps, right, to be sustainably operating well in any -- pretty much in any state. So this is something that will -- is building the foundation of the underwriting for Farmers and on those conditions, obviously, pretty much any risk is insurable. On the Group functions, there isn't anything really specific going on there. We have initiated a few projects, transformational projects, both on the IT and on some businesses, as I mentioned before. Part of it is reflected in the headquarter and the support functions for this. So nothing of note, nothing that you should be building in on a regular run rate basis. And maybe if I may add just one point on retail versus CI exposure change, which I think is important. What you see on Slide 10 for CI, but also Slide 11 on retail on the exposure, Vinit, is actually the net number, right? So remember that in commercial, the teams in the U.S. have been exiting some unprofitable relationships. They've been pruning some parts of the books, particularly on the motor monoliner relationships. So this -- there is growth underneath, but obviously, it's also masked by some business underwriting decisions. In retail, the one thing that I would mention in addition to Mario's comments is that we've been on a journey to build up the exposure in non-motor lines, like the German team has started doing on other lines that are less exposed to inflation, and we are very happy about the results there. Some of this exposure comes through partnerships. It can be banks, it can be other type of partnerships, and this is what you see reflected in here.
Operator: The next question comes from Fahad Changazi with Kepler Cheuvreux.
Fahad Changazi: Hi there
Mario Greco: Hello?
Claudia Cordioli: We lost you.
Mario Greco: After "Hi there", disappeared. What happened after?
Operator: Yes, we lost the connection. And we have a follow-up question from Michael Huttner with Berenberg.
Michael Huttner: They will be very quick. It's two; one on Slide 10 and the other one is on Slide 62. Slide 10. So you show the impact of rate in commercial lines. So that's relative to the premium volume, that's 2%. But that's not the 4% -5% pricing. So I just wondered, I know there's always a difference, but I have the opportunity to ask. And then the other one is Slide 62. So you very helpfully break out your debt portfolio. And here, I did have a question a while back from some investor worried about illiquid debt. So I'm not sure where -- in which bucket this would fit. But if you can say what -- how you see it, that would be very helpful.
Mario Greco: Illiquid debt. So you're asking where would illiquid debt fall...
Michael Huttner : Slide 63, yes. 63. Sorry, 63. I got it wrong.
Mario Greco: I don't know. On illiquid debt, let us come back to you because I am not very clear that we have illiquid debt in our portfolios and...
Mitchell Todd: Michael, It might be the private debt that your investors talk about. So why don't we give you some numbers when we come off because the private debt sits within the credit and private debt column that you see on 62. So I suspect it's partly that. Let's come back to you and take it offline though. And we can give you a breakdown of how that…
Unidentified Company Representative: [Indiscernible]. I'm not sure it's illiquid. I mean it could be expensive to liquidate it. It can be liquidated.
Mario Greco: Okay. Let's figure it out precisely how -- at least how we define illiquid, and we'll come back to you.
Michael Huttner : And on Slide...
Mitchell Todd: Can you just repeat your question, Michael, say it again [indiscernible].
Mario Greco: Rates versus growth. Was that the question? Michael?
Michael Huttner : Yes, yes. So that's a 2% rate change. And in your slides, you say the rates are up 4% or 5% or something.
Mario Greco: Yes. But then these are two different measures because here, we're trying to represent how the gross premium written changed over the period. But remember that we had roughly 86% retention, right? So there were retained customers where nothing changed except that price increased. Then 14% of the exposures were lost not renewed or canceled by us. And then there was the new business acquired. So it is two different concepts, I would say.
Operator: The next question comes from Andrew Sinclair with Bank of America.
Andrew Sinclair: Two more for me. First, I see there's some financial expenses guidance, but could you give us any guidance on discounting for 2025? And then finally, it was just on reinsurance renewals. I know you've shown some stuff in terms of the program. But from memory, I think some of your U.S. catastrophe [towers] renew in April. Just anything you can tell us about those renewal discussions after the wildfires.
Claudia Cordioli: Thanks, Andrew. So on discounting, I will go back to the guidance that we provided, I think it was in last year's presentation. I think we gave a guidance for the full year of $1.4 billion is what we expected. I would reiterate that, Andrew, at this point. I think it -- I mean interest rates might move, but that number will not move significantly. On the renewals, on the reinsurance renewals, you're right. So 1/4 now in April, we're going to renew our U.S. cat. So we'll see if and what impact the wildfires will have. I think the interesting item in there is that for some reinsurers, the majority potentially of the reinsurers, they have been modeling wildfires as secondary perils. Now this event is getting the proportions of a hurricane or a major peril. So it will be interesting to see if and how they consider that in the modeling going forward. We don't expect to make major changes to our reinsurance structure. But we've seen now at the renewals in 1/1 that we were able to, in most of the instances, actually enlarge coverage, keeping the prices in a stable fashion. So it was actually a good renewal.
Operator: Again, we try with Mr. Fahad Changazi with Kepler Cheuvreux.
Fahad Changazi: Hello? Hi there. Can you hear me?
Mario Greco: So far, so good. Keep going.
Fahad Changazi: Thank you so much for persevering; I appreciate it. Just a very quick question. On middle market, if I could just follow up. Given you're doing these investments, did we still have a 4% better core versus the rest of the business at full year, and do we still expect that in the plan? And I think you mentioned there was a 5% rate increase in middle market property. Is that sort of incorporated those kind of rate increases in the plan as well to get to the more than $10 billion? And just a final one. I do really appreciate that the IR team has given more disclosure and clarifications. But on the Life expected return, given what happened with swap rates, could you give some guidance on the IFRS Life expected returns and the Life economic profit in the SST for 2025?
Mario Greco: Your last question, I'm seeing my IR colleagues getting desperate. Yes, they will try to do their best to give you some guidance. All right. On mid-market?
Claudia Cordioli: Mid-market. So yes, the 5% on properties is possibly even a bit high of expectations. So will that change the outlook on the plan? Probably not in the short term, but that's definitely confidence building as we are growing in that segment. So definitely a positive for us.
Mitchell Todd: Fahad, we'll take it offline, and we'll follow up with you after. I think it's probably easier.
Operator: The next question comes from Marcus Rivaldi with Jefferies.
Marcus Rivaldi: I just had a quick question, please, on the -- your estimate for the wildfire loss. So $200 million, is the own exposure to Zurich coming up through that all lines quota share from Farmers? Or are there other Farmers exposures being rolled up into that $200 million? Because if it's just the all lines quota share, I'm left with like $150 million coming from other sources. And it feels like a surprising balance, frankly, between Farmers risk and Zurich underwritten risk. And if it's that elsewhere, where are you picking that risk up from?
Claudia Cordioli: So the way the $200 million estimate is built is just shy of $50 million, 5-0, is coming from the quota share. So it's 8% of the 30% session of Farmers for 2025. at $48 million. The rest is bottom-up, but obviously still very preliminary estimate of the risk to the Zurich book. Now most of it is actually coming through commercial activities and builders, which is the majority of our book in that area. As you can imagine, we don't do retail business. We don't do private or high net worth in the U.S. So this is where the exposure comes from. And time will tell. I mean, obviously, it's very early, still very early to do an estimate.
Marcus Rivaldi : And just a quick other follow-up. The -- I think the Farmers estimate does not include any FAIR Plan assessment. Have you baked something like that into your numbers at all? Or could that be in addition to the numbers?
Mario Greco: Yes. That will not change much.
Claudia Cordioli: We got a first assessment -- or we got an assessment. It's negligible for Zurich. For Farmers, it's in line with the market share, so 12%, but it's also something that does not change the $600 million net of per-occurrence reinsurance that we've been publishing. So the number is absolutely manageable. And for everything that we know now, it's fully absorbed by the reinsurance structure.
Operator: We have one last question as a follow-up from Andrew Crean from Autonomous.
Andrew Crean: Quickly, could you just round out your expectations for IFI and for the gross investment income on the P&C side going forward? And then secondly, I think Farmers at earned rate increase was something like 17%. I think you said 17.4% in '24. Have you got a sense as to where that is likely to land for '25?
Mario Greco: I don't, but I know that -- I mean can we come back directly to yourself with the answers to this? Because we need to check and we will -- Mitch and Francesco will come back to you directly and provide the answers to. But I don't think we have your second question answer ready now. And on investment income, that's easier, and we'll come back with a precise number.
Claudia Cordioli: But also there, Andrew, I will go back to the guidance that we gave -- well it was before the Investor Day, I think it was last year in the equivalent call. There might be a bit of upside on the investment income since we're seeing reinvestment yields still very positive, right, particularly for investments denominated in U.S. dollars. So there might be a bit of upside there. Everything else, I think I will keep both on runoff and the new rates that we build in the reserves on the current accident year, I would keep that guidance pretty much in line with what we said last year.
Operator: Ladies and gentlemen, in the interest of time, this was our last question.
Mitchell Todd: Okay. Well, thank you very much, everybody, for dialing in. If you do have any further questions, please don't hesitate to call myself and the rest of the IR team. And thank you, and goodbye.